Operator: Good morning. My name is Emily, and I will be your conference operator today. At this time, I would like to welcome everyone to the Pentair Q2 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Jim Lucas, you may begin your conference.
Jim Lucas: Thanks, Emily, and welcome to Pentair's second quarter 2016 earnings conference call. We're glad you can join us. I'm Jim Lucas, Vice President of Investor Relations and Strategic Planning. And with me today is Randy Hogan, our Chairman and Chief Executive Officer; and John Stauch, our Chief Financial Officer. On today's call, we will provide details on our second quarter 2016 performance, as well as our third quarter and full year 2016 outlook as outlined in this morning's release. Before we begin, let me remind you that any statements made about the company's anticipated financial results are forward-looking statements subject to future risks and uncertainties, such as the risks outlined in Pentair's most recent 10-K and today's release. Forward-looking statements included herein are made as of today, and the company undertakes no obligation to update publicly such statements to reflect subsequent events or circumstances. Actual results could differ materially from anticipated results. Today's webcast is accompanied by a presentation, which can be found in the Investor section of Pentair's website. We will reference these slides throughout our prepared remarks. Any references to non-GAAP financials are reconciled in the appendix of the presentation. We will be sure to reserve time for questions and answers after our prepared remarks. I would like to request that you limit your questions to one and a follow-up and get back in the queue for further questions in order to ensure everyone an opportunity to ask their questions. I will now turn the call over to Randy.
Randall Hogan: Thanks, Jim, and good morning, everyone. I’m starting on page 4. We are pleased with our second quarter results which came in at the high end of our expectations. The top line was consistent with our forecast and income and margins were slightly better than our expectations driven by strong execution and continued benefit from our cost-out actions. Integration of ERICO is meeting our expectations, we remain on track to meet or exceed the $10 million in synergies we targeted. Free cash flow was once again a positive story and we’re very pleased with our performance here. For the first half of the year we’ve generated $304 million in free cash which is over a $150 million better than what we delivered in the first half of last year. We’re updating our full year adjusted EPS outlook to a range of $4.05 to $4.20 which is bringing a nickel off the top end of the range. Valves & Controls have started to become more predictable, we’re seeing the negative impact of sales mix in both Flow & Filtration Solutions and Technical Solutions. Now I’ll turn to slide 5 for discussion of our Q2 2016 results. Second quarter core sales declined 1% which is slightly better than our previously communicated expectations. Water Quality Systems delivered solid growth once again against the tough comparison, our Flow & Filtration Solutions felt the impact of continued difficult agriculture markets. The declined Valves & Controls sales moderated and Technical Solutions was flat compared to our expectation with a slight decline in the quarter. ERICO contributed positively with sales in-line with our expectations. Segment increased 7% and return on sales expanded 30 basis points to 16.8%. Water quality systems saw 200 basis point expansion and Valves & Controls slightly beated second quarter income and margin commitments which were big steps up from the first quarter. Adjusted EPS grew 3% to $1.11 per share and was at the high end of our guidance of a dollar rate to an $11. As I mentioned previously free cash flow was very strong in the quarter. Now let’s turn to slide 6 for more detail on Pentair’s Q2. Our sales performance was mix by vertical with strong growth in residential and commercial and infrastructure. We saw signs of stabilization industrial with a rate of decline continue to moderate and energy did not get worse. Food & Beverage was down in the quarter due to ongoing declines in agriculture who we believe our beverage business remains healthy. Our largest vertical residential and commercial saw 2% sales growth with strength in residential and water quality systems and ongoing strength in commercial in both Flow & Filtration Solutions and technical Solutions. Well, ERICO’s performance is not captured in core results yet, we would point out that commercial markets remain solid for it too. Infrastructure was positive once again led by continued growth in both North American Municipal Pumps and improved project activity in Process Filtration globally. We’ve been looking for Flow & Filtration Solutions to see infrastructure growth this year which has played out as expected and we’re encouraged that biding activity remains healthy as well. The rate of decline within Industrial moderated further and we believe that this our largest vertical appears to have found a bottom. There we’re not looking for a second half rebound comparisons even in the second half and should reported results. Food & Beverage declined for the second consecutive quarter as Flow and Filtration Solutions continued to feel the impact of agriculture the decline to the double digit rate for us. Energy declined at a low double digit rate for the second consecutive quarter, but we expect energy sales to find a bottom in the second half based on the bottoming and sequential orders we’ve experienced. As you can see on the right hand side of the page, productivity remains strong and more than offset inflation. ERICO contributed strength to the bottom line and strong underlying performance in synergies. Now let’s turn to slide 7 for a look at water quality systems performance in Q2. Water quality systems delivered another strong quarter with 3% core sales growth. Although growth rate declined sequentially with the tough comparison as the second quarter last reflected slightly different timing in the North American cool season then what we’re experiencing this year. Although timing is different, we believe the North American cool season remains very healthy. Water filtration grew sales 1% as both our residential filtration business and our food service business faced tough comps. Segment income grew an impressive 11% and return on sales expanded 200 basis points to 24.7%. Robust operating leverage was the key contributor to margin expansion in the quarter. Timing of growth investments may mute the rate of margin expansion in the second half but we anticipate the prospects remain strong for water quality systems. Now let’s move to slide 8 for a look at Flow & Filtration Solutions. Flow & Filtration saw core sales decline 1%. We had anticipated the segment to return to growth in the second quarter and rather infrastructure growth came through as expected, but food and beverage performance was negatively impacted by very challenging agriculture sales. Water Technologies core sales declined 3% at strength in residential and commercial and infrastructure pump shipments were more than offset by double digit declines in irrigation pump shipments. This is very similar to what we saw last quarter in this business. We expect both the residential and commercial and infrastructure businesses to see continued growth, irrigation headwinds will likely persist, this comparisons remain challenging given the drought conditions in the west that helped our sales last year. Core sales in Fluid Solutions declined 3%, well beverage returned to growth in the quarter and experienced strong orders growth as well. The precision spray presence was negatively impacted by the beleaguered agriculture markets. Process filtrations up core sales growth of 10% as we continue to see momentum build from our focus on industrial water reuse solution and return to growth in infrastructure with some desalination investments. This business has some lumpiness given the timing of projects that we believe we continue to gain momentum from our focus on industrial water reuse. Segment income and return on sales contracted modestly this negative mix weight on the segments results. We believe this is just a pause in the margin improvement journey in the Flow & Filtration Solutions and there is still a long runway ahead for further margin growth. Now let’s turn to slide 9 to discuss our Technical Solutions performed in the second quarter. Technical Solutions reported 32% sales growth for the quarter consisting a flat core sales growth and 1% headwind from FX and a 34% positive contribution from ERICO. Core sales in Enclosures declined 5% or encouraged by the stabilization in the daily order rate which reinforces our view to easier comparisons in the back half of the year. Thermal Management delivered core sales growth of 7% helped in part by two projects in Canada that we previously discussed that are reaching completion. We’ve talked this year about our Industrial Heat Tracing business continuing to win small projects and unfortunately we’re seeing no sign of downstream MRO spending growth return yet. All the results of ERICO are captured as acquisition contribution, the business performed in-line with our expectations. As a reminder over 75% of ERICO’s sales are into commercial end markets which remained very healthy in the quarter. We remain on track to deliver over $10 million in synergies for the year on top of the base business profitability which is performing as expected. Segment income grew 30%, the return on sales contracted 60 basis to 20.6%. The margin contraction was isolated to our Thermal Management business as the growth we mentioned in projects versus higher margin MRO product sales negatively impacted mix. ERICO has performed as we had anticipated, Enclosures are seeing signs of stabilization. The performance of these two SPGs was not enough in the quarter to offset the impact of the negative mix experienced in Thermal Management on the ROS. We’re not expecting downstream MRO spending to rebound in the second and we expect this will undoubtedly have an impact on third quarter margins for Technical Solutions. So with ERICO and Enclosures performing as expected Technical Solutions remain well positioned long term. Now let’s move to slide 10 to discuss the Valves & Controls performance in Q2. For the second consecutive quarter Valves & Controls met or beat its forecast for both sales and margins. Even more the heavy lifting we’ve done to right size the cost structure of the business read out in the nice gain and margin sequentially. And orders appear to have stabilized. Valves & Controls reported a 13% decline in revenue with core sales down 11% and a 2% headwind from FX. Backlog was down 7% sequentially, which includes negative FX translation. Core orders were down 27% year-over-year against the tough comparison, but as stated we did see a flattening of orders sequentially. Core sales were down 6% in aftermarket and down 17% in projects. In line with our expectation, the aftermarket business remained weak as OpEx continue to be constrained along with CapEx at many customers. We believe the order funnel overall is beginning to strengthen, which reinforces our view that orders will bottom in the second quarter and will begin to expand near double digit rates sequentially starting in the third quarter. The right half of the page shows second quarter segment income and return on sales, which both met our forecast. Return on sales of 10.1% was slightly ahead of our forecast and up significantly from the first quarter as our cost-out benefit registered in line with our previously communicated expectations. The Valves & Controls team has done a courageous job in realigning the business to reflect the significant energy industry reset. It executed in the cost side while aligning the business with the opportunities exists today and over the next several years. We continue to believe that Valves & Controls is well positioned for an eventual recovery in its end markets beginning in 2017 and will continue to enjoy rising margins sequentially even before that. Now, let's move to slide 11 for look at Valves & Controls backlog. Much of the backlog decline we saw has come as a result of progress we're making in reducing our past dues. Last year we booked roughly 100 million in orders from projects greater than $5 million. However, we have not booked even one order greater than $5 million during the first half of 2016. Yet orders of bottoming out sequentially and as our customers sort out the spending plans, we expect to see a return of some larger projects. So we believe that the second quarter marks the bottom for orders and we're expecting orders to improve in the second half of the year from the depressed first half levels. For the past three quarters, the business has improved its forecasting capabilities and with aftermarket orders now approximating 55% of orders that should improve the margin mix. We're encouraged with Valves & Controls meeting or beating its forecast on sales, orders and income for the second consecutive quarter. There has been tremendous progress made on right sizing the cost structure of the business and better alignment between sales and operations has improved forecasting and execution ability of the segment. We believe the order funnel will continue to strengthen and while the top line will not show it right away orders bottoming and margins improving show brighter days ahead. With that, I will turn the call over to John.
John Stauch: Thank you Andy, please turn to Slide number 12, titled balance sheet and cash flow. We ended the second quarter with $4.6 billion of net debt inclusive of cash on hand. This was an improvement from where we ended the year as we used our strong cash flows in the quarter to reduce our debt levels. As Randy mentioned earlier, free cash flow increased over 150 million during the first half of the year versus the comparable period last year. We continue to expect to deliver free cash flow greater than adjusted net income for the full-year. Our ROIC ended the quarter at 9.6%. Our forecast for capital expenditures remains a 150 million as continue to invest in businesses that have earned the right to grow and drive standardization and productivity across the enterprise. We remain focused on generating strong cash flow and further debt reduction. Please turn to Slide 13, labeled Q3, 2016 Pentair outlook. For the third quarter, we expect core sales be flat and total sales to increase 7% inclusive of FX head wins and a positive contribution from ERICO. As a reminder, we closed on the purchase of ERICO just before the end of Q3 last year. And starting in Q4, ERICO will be included in the core. On a core basis, we expect water quality systems to grow approximately 8%, while flow & filtration solutions is expected to see core sales decline approximately 1%. Technical solutions is expected to be flat on a core basis and valves & controls is anticipated to see core sales decline 6%. We expect segment income to increase approximately 11% and return on sales to expand roughly 60 basis points to 16.7%. Below the operating line, we continue to expect the tax rate to remain around 20.5%, net interest in other to approximate $35 million and shares outstanding to be around a 183 million. We expect free cash flow to continue to be strong during the quarter. Please turn to Slide 14, labeled full year 2016 Pentair outlook. As Randy at the beginning of the call, we have taken a nickel off of the top end of our range and our full year adjusted EPS outlook is now $4.05 to $4.20. For the full year, we expect core sales decline 1%, water quality systems full year core sales are anticipated to be up approximately 6%, which is slightly better than our prior forecast. We now expect flow & filtration solutions to see a core sales decline of 1% versus our prior forecast of modest growth for the full year. Technical solutions core sales expected to be flat for the full year, which is slightly better than our prior forecast. Finally, valves & controls expected to see core sales decline of approximately 9%. We expect segment income to grow roughly 8% and return on sales to expand approximately 70 basis points to 16.3%. our revised forecast factors in slightly better operating performance from water quality systems and valves & controls, or technical solutions and flow & filtration solutions are expected to see margins impacted by negative mix related to unfavorable market conditions. We anticipate full year corporate cost to be just under 90 million, net interest in other are roughly a 140 million and the share count to be roughly a 183 million. Adjusted EPS is expected to grow approximately 5% at the mid-point of the range. Finally, we remain on track to generate free cash flow in excess of adjusted net income for the full year. Emily, can you please open the line for questions. Thank you.
Operator: [Operator Instructions] And your first question comes from the line of Shannon O'Callaghan from UBS. Your line is open.
Shannon O'Callaghan: Good morning, guys.
Randall Hogan: Good morning, Shannon.
John Stauch: Good morning.
Shannon O'Callaghan: So, I guess maybe just start with current assessment of strategic views on valves & controls and given news items and also does the fact that executing so much better impact your view of set. How do you think about that currently?
Randall Hogan: Well, I'm not going to comment about speculation, if we have anything to say, we would have said it. But I'm really pleased with the progress. There is a lot of doubters, there is doubters in a lot of places about how well our actions would read out. And I think this was a proved quarter. And to go from the margins we had in the first quarter, the second quarter, and see the bottoming of orders, I'd say valves is a like has a like clear future today than it had in the first quarter.
John Stauch: Yes, and I would add. This is a great business in the difficult market condition and 2014, we're nearly 17% margins and roughly 400 million in segment income. And what we feel like is a trough year, we're still going to be 11.5% ROS. We're slugging through it, I mean, obviously seeing some sequentially bottom of the orders is a good sign and seeing the order funnels start to become a more robust time in Q3 and Q4 give us excitement that we can feel like we can start contributing more and more as we go forward in valves & controls.
Shannon O'Callaghan: Okay. And then, maybe just within valves & controls but even technical and more broadly some things you're saying are bottoming. You talked about I think within valve's essential double-digit order increased sequentially in 3Q. But then there is other things like downstream you said you assume, you're not expecting any recovery. I guess, where do you expect sequential recovery and where do you think market is still going to remain depressed?
Randall Hogan: This is just a weird time. I mean, there's such a mix geographically and between verticals in terms of the growing and not growing and I think that reflects the greater uncertainly in the world. We feel really good about industrial and commercial, we feel like infrastructure is coming back with some momentum, as I mention the orders not only a sales op but orders act, order activity has remained up. And while the agriculture continued muted spending in agriculture, mutes our Food & Beverage like. We feel really good about food service a beverage overall. So, we think a lot about what individuals are spending money on, is good, residential, commercial, food and beverage and even in industrial. The fact that we're getting to the point where we're seeing flattened daily order rates and industrial tells us that we're, that's why we are seeing the bottom there. We just don’t expect it to increase a lot in the second half yet.
Shannon O'Callaghan: Okay, great. Thanks guys.
Randall Hogan: Thanks, Shannon.
Operator: And your next question comes from the line of Deane Dray from RBC. Your line is open.
Deane Dray: Thank you. Good morning, everyone.
Randall Hogan: Good morning.
Deane Dray: Hey Randy, I was hoping you could expand on a comment you made in your opening remarks regarding that negative sales mix. I think you addressed it pretty clearly, you're on the Valves & Controls business. But I'd be interested in hearing where else you're seeing a negative mix as it relates to customers in this environment instead of buying such and such, they're opting for either a cheaper replacement. But how does it translate into your customer behavior into a negative mix this quarter?
Randall Hogan: Yes. Thanks Deane for asking that, so I can clarify. It's not the mix, the mix we're seeing is not mix between a customer saying buying a lower margin, lower performing product for the same application. It's specifically in flow and filtration, our Ag business has higher margins than our residential and commercial business. And so when Ag goes down and residential goes up, we get a negative mix. So, it isn’t product substitution in application, it's just a mix of what's growing and what isn’t. And in the Thermal business and technical solutions, again products MRO has high margins, project doesn't. So, we actually expected MRO to come back, maybe that was Pollyannaish, probably was but it didn’t, and therefore all the projects that we were happy about winning kind of overwhelmed margins for Thermal.
Deane Dray: And just to clarify, when you say in your reference Ag, this is irrigation pumps that you primarily exposed?
Randall Hogan: There is two pieces in there, both in inflow and filtration that we're talking about that have seen big negatives. One is irrigation and year-over-year it held up pretty well last year because we have pretty high share where there were droughts and then was a lot of activity drilling new wells because of the drought. We don’t have that impact this year. And the second is in crop spray, where we had we've actually been listening to the graveyard a little bit because we've been not declining the shaft as the market, and this is largely OEMs and distribution where we sell these precision spray systems that are used in agriculture as well. And that market remains depressed.
Deane Dray: Thank you. And then on as unrelated topic. We had the opportunity last month to see Pentair as attractive new business in China for residential water treatment. So, this is a brand new market for us to see. And estimates reported like 20% to 30% growth annually and you all have being recognized as one of the leaders in this business, are basically mini RO systems for home appliances that are being bought by the rising middle class who just can't drink the water without boiling it. So, I haven’t seen you talk about this opportunity before but we saw everyone's talking about it. Maybe you can talk about what the opportunity is, how it fits, what the ramp is and what kind of contribution you should expect?
Randall Hogan: Yes. I probably should talk about it more, stop fighting fires. What's really interesting is there is much more awareness about the importance of safe clean water among the middle class and the developing world than there is in the US and Europe. Now, for sad reasons, there is increasing awareness in the US. We say a bump in the US because of the concern about drinking water in cities and schools and we could see that in our orders. And we are the largest provider of equipment for residential water treatment and filtration in the world. That business has been growing nicely. The little bit in China, we do have a nice exposure there, it has been lumpy because a lot of ours goes through distribution and it's been as credit has been harder to get there. Some of our distributors have had to slow down. But if you take a look at it over the last few years, it has been growing very substantially. And I move that business to Karl Frykman and his WQS team a couple of years ago because we were the largest player in that business but we weren’t the best performing in that business. And we made huge progress under Karl's leadership in taking that order, filtration, that part. It did water filtration, water filtration is made up of that residential and commercial and the foodservice piece, the Everpure brand, if you will. And a lot of the margin expansion you saw in WQS is actually because of the momentum we're gaining there. And we'll talk more about it.
Deane Dray: Thank you.
Operator: And your next question comes from the line of Steve Winoker from Bernstein. Your line is open.
Steven Winoker: Thanks and good morning folks.
Randall Hogan: Good morning.
Steven Winoker: And can maybe talk a little bit through the progress Bess is making in flow & filtration and kind of I mean it's still early days in many ways. But just talk about where you are in that task and how the quarter as you sort of look forward where you think this could head at least to over the next four quarters?
Randall Hogan: Yes. I think Bess' progress is good. I mean, no one was more disciplined, it was not getting growth in the second quarter than she will. And I think we need to get more traction and she believes we need to get more traction on the things we're investing in the grow. We shouldn’t be surprised by what happened in irrigation. We need to be more intimate and close with the customer. And we need to keep driving on the areas that are working, like the shift to industrial water and capture as much of the infrastructure and rest as soon as possible. We still believe that there is probably more growth opportunities in the offerings that she leads and the markets that she served and any other business we have. There's no reason FFS shouldn’t be able grow and perform just like WQS.
Steven Winoker: And what are the biggest ones that jump out of you in that, beside sort of the in Chinese water, when we all saw over the last year?
Randall Hogan: Yes. Well, I mean, the infrastructure globally, there's a return to investments particularly in the [indiscernible] Moses and other water filtration on the municipal and the commercial scale. We have leading positions in advanced technologies for water we use, methane capture, CO2 capture for food & beverage and we're having promising early results, we need to flood this own and get more advanced in those businesses. And also, just in terms of our membrane technology. I think there is too narrow of focus of where we're applying our technologies and we need to be planful about it but the opportunities for us to be if you well Pentair inside, on membranes in a lot of applications which we are component supplier to high value applications.
Steven Winoker: Okay and Randy if I could just come back at that Valves & Controls answer you gave earlier, I guess something come out little bit differently which is considering how you are thinking about Valves & Controls from kind of day one in terms of strategic fit with the rest of the portfolio and the opportunity, I mean to what extend is for getting price and everything else here, to what extend is the strategic fit of that segment important to how Pentair grows going forward in your mind and then the importance to the other segments or from some other perspective that would suggest that it's really still going to be worth more to you than somebody else.
Randall Hogan: Well, I see a good runway ahead for performance improvement there and what are we good at. We are good at performance improvement. So I think we have really turned the corner in the business. I am not going to strategy right here but it gives us great scale and it has great scale. I mean it's a large player in a large fragmented business and we speculated before on what needs to happen in industry we are not going to speculate anymore right now.
Steven Winoker: Alright, that's helpful. I got it. Thanks very much. I will pass it on.
Operator: And your next question comes from the line of Steve Tusa with JPMorgan. Your line is open.
Steve Tusa: Hi guys.
Randall Hogan: Hi Steve.
Steve Tusa: Thanks for the color on Chinese water business, I appreciate that. The tech product segment, the margins were cut there and you talked about mix is there any how do you look kind of price cost dynamics there and how much deal do you guys buy on an annual basis?
Randall Hogan: How many deals we buy in? A lot, I mean there is couple hundred million dollars Steve but I think we take a look at the technical solutions margins. It's really simply that there was expectation that we would see the MRO in the aftermarket product side which is a very, very high margin product line kind of basically not gravity and it was going to where they were planning on to be flat to up and it's down double-digits in Q2 and so we are seeing a margin squeeze between that products fall off and it was an expectation that that would rally in the second half and we have taken away that expectation to second half now and the anticipation that we are not going to see any recovery in the aftermarket side. We deferred that aftermarket. We covered it to 2017 and so that product decline of double-digit is really impacting the squeeze in the margins for technical solutions.
Steve Tusa: Okay. Got it. It's ritually the thermal stuff, I mean what are you seeing in the chain in technical I mean Wesco reported today pretty weak volume number and all these distributors and Rockwell talked about push outs in their business. So what are you seeing in the - you talked about the stabilization but -for Enclosures, for the core Enclosures business?
Randall Hogan: Yes, for the core Enclosures we did see, we have seen stabilization in our daily order rate and it's interesting there is quite a mix of what we are learning from what distributors are saying and clearly ones that are deeply industrial facing are facing more challenges than one more balanced are skewed towards commercial and we do serve multiple market. So maybe that's why we are seeing the flat.
Steve Tusa: Okay and then one last question just on Valves, does the order I know like things bottom sequentially but I mean historically I think seasonally Q2 kind of an average single business in the world is better than first quarter so not sure what that tells us I think you said double-digit increase sequentially in the third quarter, something that the order comp year-to-date probably? Sorry.
Randall Hogan: Double digit.
Steve Tusa: Yes, double-digit. Okay. So that kind of brings the year-to-date probably year-over-year to down still down double-digit does that change the complexion of how you are feeling about 2017 or does this sequence to the sequential dynamics now kind of like really make feel maybe little worse in 2Q but better in 3Q make you feel like you are still on track for that kind of flat EBITD type of hope for 2Q for 2017.
John Stauch: Yes Steve, I think what we feel is that we have got a fairly high past two backlogs that we are still working on from standpoint of on time delivery roughly 70% not great by any standard I mean not horrible in the industry but not great by Pentair standard. So we are working at past two backlogs that's helping revenue. When you take a look at the orders and what Randy mentioned not getting any large orders it means that our conversion ratio is going to be higher. So we feel like as we head into 2017 even ending the year with lower orders in 2016, we think our conversion ratio is going to get back to historical norms which is around 51% of orders that are booked in the year and shipped in that year. That trough last year around 43% so I think we feel like we are starting to get that mix up as we mentioned with more aftermarket standard and so we feel like right now 2017 is an up year versus 2016 for me from the income side for sure. And orders will continue to rally in 2017 from this point the way we are looking at.
Randall Hogan: Exactly and the other thing I would add is that we have really fixed funnel, we are looking at has been cleansed, high quality.
Steve Tusa: Pretty attractive for any buyer out there. Thanks a lot guys.
Randall Hogan: Thank you, Steve.
Operator: And your next question comes from the line of Joe Ritchie with Goldman Sachs. Your line is open.
Joe Ritchie: Hi, thanks. Good morning guys. I am going to ask Steve's questions slightly differently. And so, if you look at your expectation for double-digit sequential order growth that would imply that your orders for the second half of the year were down call it like roughly mid single-digits. Comps would kind of get you to down mid tens and so there is underlying improvement embedded in that number and I am just wondering like did the things get much better, is the quarter progress and what’s given you the confidence in the underlying improvement in the order number in the second half of the year?
John Stauch: Yes, I hit on this in Analyst Day last year and then we have had several sessions with the business since. But we have a fairly sizable project contribution as we worked our way through the 2014 and 2015 timeframe and as Randy mentioned not having a single order greater than $5 million over the last several quarters means that we have got a rich backlog or rich funnel of shorter cycle orders, higher margins. So I think where we are is that we do believe we are going to start to see some projects and we are working on those on the funnel and those will be contribution but if you look at the order rates and the order levels absence of those large project orders is actually a pretty good contribution and so when you think about that as a base and that base moving fairly stable, any orders on top of that gives you great excitement that we are going to start to see a ramp from here.
Joe Ritchie: Got it. Okay but is there like any specific end markets that are driving these improvements?
John Stauch: Yes, we are starting to see the downstream investment again. The OpEx has been turned off for some period of time. We are starting to see a fair amount of aftermarket consolidation. So our customer spending with the scale providers which gives us great excitement of being the largest valves supplier in our space that we are going to see a lot more aftermarket consolidation and that's a big growth opportunity for us. And then, we also are back in the game in the Middle East and we are starting to see order contribute to the Middle East where we have been out of that game for some time.
Joe Ritchie: Okay, alright. Maybe one follow-up and it looks done a really nice job on the tech solution side, I guess the question I have is you saw a little bit margin degradation this quarter on flat growth. Your expectation for the back half of the year is for growth to be down from margins to flatten and actually improve versus 2Q and so maybe just kind of talk through some of the puts and takes there on the tech solutions margin from the second half?
John Stauch: Yes, we are finishing a job in Q2 that was a six bit job in thermal and we had some overrun on the labor side on that project. So that job is ending early Q3 and so with that behind us we are back to more of a normal project margins and normal product margins so it was one large job that we worked through last year and we have the final labor runs going through Q2 and early Q3 and then it's behind us.
Joe Ritchie: And what was that impact John?
John Stauch: It was a project order and it was fixed hourly or fixed fee and we over ran the labor to install it and complete the job. And so it ended in Q2 and Q3 so it's finishing up here in July and then we are going to see those orders or see that margin get better from here.
Joe Ritchie: Okay I have a follow-up on impact later. Thank you guys.
Operator: And your next question comes from the line of Mike Halloran from Robert Baird. Your line is open.
Mike Halloran: Hey good morning everyone. So, a couple full filtration questions. First on the water reuse side obviously you got some lumpiness in your process filtration piece in general. Maybe you could just talk about in the underlying momentum there what the core trends from the industry look like and then how your positioning is and how are you doing on a relative basis?
John Stauch: Just the process filtration piece?
Mike Halloran: Yes, and I have a second one on the hag side.
Randall Hogan: Yes, I think that we have a lot of capability and we have not fully achieved ignition in the marketplace. Infrastructure we have pretty good reach globally to basically the components that go in the large projects and we do pretty well there. Our hit rate when we compete for industrial is pretty good. We need to get more FX on that. And similarly I think that there is a vast opportunity for us to sell membrane bundles and not just modules and systems. So I think we are early days in terms of all the growth opportunities of the process filtration have.
Mike Halloran: And then, on the hag side obviously some challenging comps year-over-year some challenging trend industry wise, talk about the sequential trends are you seeing any signs of stability in industry relative to what a normal sequential would look and what’s the thought process going forward?
Randall Hogan: You are talking about full filtration in total? Well, given the lack of good predictability that we have going in the second quarter I will be less confident in answering we expect to see some improvements in crops rate coming and but irrigation I think is going to be we are - this is irrigation season. So the fact that it wasn't up now it means it won’t be up in the third quarter. It tracks pretty closely with farm income unless you have an issue like we have with the drought.
Mike Halloran: Right but I guess I am more asking stability emerging at on that side for you guys with all the headwinds there or do you think that there is still more swing ahead?
Randall Hogan: Not worsening, not bettering no. I would say.
Mike Halloran: Great. Thanks guys.
Randall Hogan: Thank you.
Operator: And your next question comes from the line of Nigel Coe from Morgan Stanley. Your line is open.
Nigel Coe: Thanks. Good morning gents. Hey so $20 million of steel purchases you called out is that just for TSO, was that Pentair wide?
Randall Hogan: Pentair wide
Nigel Coe: Okay that's what I thought. I just wanted to clarify on that point. So on BNC margins can you maybe just help just to from 2Q to 15% do we still have a FIFO tailwinds into the second half-of-the-year or is the gap between low doubles to mid tens is that primarily cost saves at this point?
Randall Hogan: This is small little tailwind from the variances associated with last year productivity working its way through Q1 and Q2 but most of it is the momentum of the incremental cost saves on the operational side and also some momentum around material savings working its way through the shipments.
Nigel Coe: Okay and I guess the fact is that there is no price and degradation in the margin bridge, its board line shocking I think we were all expecting that to be price and headwind this year is that because the price in the markets is, we just haven't seen price cuts because the end market conditions are so awful? Or is it just primarily a function of Pentair walking away from low price projects maybe a bit of a mix issue as well. Maybe any kind of color on pricing would be helpful?
John Stauch: Yes Nigel, just to be clear and thank you for asking the question our price that shows up in the Valves & Controls chart is a like product to like product. Sub-standard product and it's an aftermarket usually and it's a like for like. We are seeing as we have talked about over the last several quarters the project margin headwind that works its way into the growth and the FX bar on the right as far as segment income so we are seeing that project mix and project pricing work its way through that and that is stabilized but it's still on the year-over-year basis pretty large as you can see there.
Nigel Coe: Okay and then quick clarification FFS, the three point delta the true down on the full year, is that a little -- issues or is there something there?
John Stauch: That's pretty much just the hag issues.
Nigel Coe: Okay, great that's good. Thanks a lot.
Operator: And your next question comes from the line of Nathan Jones from Stifel, Nicolaus & Co., Inc. Your line is open.
Nathan Jones: Good morning everyone.
Randall Hogan: Morning Nathan.
Nathan Jones: Just a follow-up on Nigel’s question there we have heard company talking about demand is so lousy and some of those oil and gas kind of markets that there is no point in telling price. Would you expect that there could be any increased pricing competition as orders do rebound as spokes to compete for that volume?
Randall Hogan: Yes, I mean I don't know if it gets worse from here, Nathan but I don't think we are planning on getting too much better from here on those projects. I think I personally believe that a lot of that reset in pricing was the foreign exchange resets since a lot of these valve producers are outside United States and the euro going down major products more affordable and I think the big EPC is taking advantage of that and so I think it's stabilizing now as most people have taken up the capacity but I don't think it's going to recover to the levels that it used to be at either.
Nathan Jones: So you wouldn't expect to say in the back half of the yea order rates improve any additional pricing pressure as people compete for that volumes.
Randall Hogan: We don't think so, no.
Nathan Jones: Okay. Then my other question on water quality solutions you talked about growth investments in the second half can you give us some more color on what those growth investments are and maybe what the impact on margins is in the back half-of-the-year and if there is continuing investments or disgrace investments?
Randall Hogan: Yes. Before I get into the specific investment so what we meant was that we had such a nice increase in margins I just don't think people should expect it to be that good and we gave you some insights on what we expect the margins to be. The investments are basically in two. One is product innovation and the other one is in channel in geography investments and sales coverage. So maybe it's 50 bips a quarter in the investment increase and one is it's a business that as the conversation about China and the conversation we talked earlier about pool business it really is a business that is yielding the innovation so product innovation pays and then as I mentioned we are applying some of the pool playbook to water purification to get more eminent and closer to the customer and those are the geography and channel investments we are making.
Nathan Jones: So it sounds like continuing investment that you grade the rewards on the top line?
Randall Hogan: Right, right.
Nathan Jones: Thank you.
Operator: And your next question comes from the line of Jeffrey Hammond from KeyBanc, your line is open.
Jeffrey Hammond: Hey good morning guys.
Randall Hogan: Good morning.
Jeffrey Hammond: Not to beat this too hard, but the I am just trying to - get a better sense of where you are seeing this sequential improvement visibility that 10% improvement what sub verticals and is it your customers telling your or actually in order rates or --
Randall Hogan: You are talking about valves?
Jeffrey Hammond: Yes.
John Stauch: Yes okay. Great. Yes, listen we are - we have had a fairly sizable frontline for a period of time and I think as Randy mentioned we scrubbed it. We have discounted the larger projects from the expectations that those were closed this year, but what we did when we reorganized the sales force is put a lot more energy and effort in the aftermarket side and one of the things we bring to the table to a lot of the larger customers is the ability to service a vast majority of valves and the way that we are servicing those right now is on an aggregated buy basis from those customers and then also working inside their factory to their plants to be able to benefit from that. So that's the big piece of it. The second one is that there has been some Pentair demand on the downstream side especially the MRO downstream and as we always said we don't think that that could be deferred forever and we’re starting to see that start to come in. So, we are not declaring victory yet I think we are saying is that we believe the Q2 represents the bottom of the orders and we are starting to see the increase from here. A double-digit increase of the Q2 is still a modest level of orders that we - versus what we are used to but at least the sign that we are going to see that downstream investments start to come back.
Jeffrey Hammond: Okay helpful and then just free cash flow came in a lot better how are you thinking about upside the free cash flow for the year?
John Stauch: Right now we are committed to the 100% of that income and we are tracking as we said $150 million better than last year but we are focused on this and obviously getting our debt paid down.
Randall Hogan: We are not only $150 million ahead of last year we are ahead of where we thought be this.
John Stauch: Yes, but Jeff I think we got to see another quarter too before we obviously - we will too have it but anyway we need to see another quarter before we are going to declare that there is upside to that number.
Jeffrey Hammond: Okay thanks guys.
Randall Hogan: Thank you.
Operator: And your next question comes from the line of Scott Graham from BMO Capital Markets. Your line is open.
Scott Graham: Hey good morning. I have a question on water quality system first not Valves & Controls. You are looking for a nice bump up in organic in the third quarter and we are just hoping you can give us little color around that?
Randall Hogan: Yes, there is a couple of factors. One is the Europe comp in water purification in the second quarter was tough so we didn't show growth there. We think that it gets better. And then and we talked about the pool timing. And the pool marketing you can look at comp, there is few comps you can look at. The pool market is really quite strong and we think that more that will read out too. You will see that more because of the timing comp, the timing won’t mess up the comp.
John Stauch: Yes, the weather can have an impact on the timing of the pool season Scott and last year there was a very, very strong Q2 and we are now back to more of a normal trend on a year-over-year basis in Q3 and as we shared I mean our product and environmental system business has been growing yearly double digit now for four five years in a row so we feel really good about the visibility to the summer and feel very good about the growth rate for Q3.
Scott Graham: Yes, makes sense. Thank you. The other question I had was simply on the shrinkage of the footprint in the past you have given us some metrics of improvement that where it was whether it was facility or people or otherwise anything you are willing to share this quarter?
John Stauch: No. I mean we have few more factories in the works to reduce. So we are just under 100 total factories to Pentair and we expect to have reduced it by around five or six by the beginning of the year to the end of the year so we are modestly addressing it where we feel we have excess capacity due to the end markets that we are serving but we are not aggressively reducing the factory at this time.
Scott Graham: Alright, very good, thank you.
Randall Hogan: Thank you.
Operator: And your next question comes from the line of Joshua Pokrzywinski from The Buckingham Research Group, Inc. Your line is open.
Joshua Pokrzywinski: Hi good morning guys. I have heard all at this point. I will put them on the roster with the rest of them.
Randall Hogan: Joshua Pokrzywinski go ahead.
Joshua Pokrzywinski: Yes, just to come back to tech product side, I understand there is some mix issues that you are talking about in thermal but we have heard a lot of companies call out particularly price cost obviously it's a steel intensive business. I would have imagined a bit more support from price cost in this quarter particularly on the Enclosure side and maybe a bit more turnaround headwind in the second half and I guess all the questions or responses around tech product seems to be focusing more on thermal than on Enclosures or ERICO so just trying to dimension out within I guess Hoffman or maybe ERICO specifically how you see mix evolving there, how you see some of the margin read out particularly it retain price cost?
Randall Hogan: Yes, we have done really well on the price costs on both ERICO and Enclosure so we did single out the thermal business Josh primarily because that is not really steel related it's more of the heat tracing cable versus the labor and the integration cost to bring that project to there so when we take on the projects and we are doing the design the engineering and the install and then we’re bringing the cable along we are going to have a compression of margins when the product side is down. And as we mentioned the aftermarket MRO sometimes goes to distribution or go direct to the end site and again installed and that's the part that's been down double-digit. So we are up significantly in the project side. We are down in the product side and we’re experiencing an overall mix issue even though we are up in the revenue.
Joshua Pokrzywinski: But just to be clear on Enclosures and ERICO, no change increase, decrease in the margins versus 1Q for the full year outlook?
Randall Hogan: No change and we have probably experiencing a little bit modest headwind on Q3 and Q4 and I save a couple million dollars in the rising cost of the steel, but not anything significant.
Joshua Pokrzywinski: Got you and then just shifting gears to water quality. I think I know you mentioned the easy comp in Europe is that a low mix dynamic where you wouldn't see lot of pool through profitability on that I guess having just said there is a late start to the pool season maybe that's still over in the third quarter you got the strong volume quarter coming. I would imagine that margin would look little bit better than what you showed or what you are showing in guidance?
Randall Hogan: Well, water purification in Europe pool isn't that big in Europe but the water purification side is and margins there are bad. Is there little mix…
John Stauch: I think there is, Randy mentioned, there is the desire to do significant growth investment and this is a business that absolutely deserves to do these growth investments and we factor them in at the business, spending them. The likelihood that they would actually spend them would be low.
Joshua Pokrzywinski: Got you but there is no blue bird in the second quarter apart from just good mix - okay.
Randall Hogan: No. not at all.
Joshua Pokrzywinski: Got you, alright, thanks guys.
Operator: And your next question comes from the line of Christopher Glynn from Oppenheimer & Co. Your line is open.
Christopher Glynn: Thanks good morning. Hey so the tech solutions trends overall shown a little revenue upside but some negative mix on the thermal side. With the intuition be for 2017 to have some favorable mix versions on margin and little bit of net organic pressure or you kind of see thermal more likely to compound the growth?
John Stauch: Early to call that but I think your intuition are about right.
Randall Hogan: Yes, I would certainly start with that. William started that.
John Stauch: I think your intuition we are doing now is correct.
Christopher Glynn: Okay and then just comment on how to size the corporate line in the second half?
Randall Hogan: Yes, I think you should look at around $43ish million divided equally between Q3 and Q4.
Christopher Glynn: Great, that's all I got. Thanks.
Randall Hogan: Thank you.
Operator: And your next question comes from the line of Robert Barry from Susquehanna International Group, your line is open.
Robert Barry: Hey guys, good morning, so I wanted to clarify in Valves the improvement you expect in the second half, is that on the aftermarket?
John Stauch: Yes, we've got a little bit more short cycle, product shipments and also getting up with past two backlog, so we see that we're expecting to get a slightly higher standard margins we move that through the shipments, and we also as we mentioned that we took in a fair amount of deferred variances from last year, which I think we spent more than we should have on the labor side and we had a belief that off in the first couple of quarters this year, so we have a little tailwind associated with that.
Robert Barry: Got you, and I think in an answer to an earlier question you alluded to some of the deferred maintenance starting to show up, is that refinery maintenance you're seeing come through it?
Randall Hogan: I don't think refinery, we're seeing more of the petrochem spending come through, which has been actively being bit, one thing that seems pretty clear is that now that the rapid decline in capital spending has happened, our customers are really sorted out normally who is working on it, who has stored and formed it, which projects are going to go forward with and we execute a little projects, we talk a lot of our big projects as the thing is that they move a needle a lot, but our average project size is $100 million, so those are small outage turnarounds just maintenance related activities and so I think we’re going to get into a more normalized albeit lower level of how they’re deployed.
Robert Barry: That’s good to hear. Just lastly you’ve been making a lot of changes to the sales organization in Valves, at this point are all of these changes kind of net, net helping or hurting the order growth?
Randall Hogan: I think the structure itself is the right structure I think when you make this level of change where you have project oriented sales people trying to call in the aftermarket you’re going to find areas where that’s the wrong skill set and I think that’s where we’re going to have to continue to migrate the sales force to the right skill set overtime and to say we’re optimized to the moment I would say is not accurate and I think we think the structure is right and what we now need to do is get the processes, the support for the structure operating fully and then we think we can benefit going forward. Has that hurt us, probably here and there but not dramatically.
Robert Barry: Great, thank you.
Operator: And there are no further questions at this time and if you would like to listen to a replay of today’s conference you may dial 1-800-585-8367. Again if you would like to listen to a replay of today’s conference you may dial 1-800-585-8367.